Operator: Good afternoon. My name is Latif and I will be your conference facilitator. At this time, I would like to welcome everyone to Intuit’s Third Quarter Fiscal Year 2018 Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session period. [Operator Instructions] With that, I will turn the call over to Jerry Natoli, Intuit’s Vice President of Finance and Treasurer.
Jerry Natoli: Thanks, Latif. Good afternoon and welcome to Intuit’s third quarter fiscal 2018 conference call. I am here with Brad Smith, our Chairman and CEO and Michelle Clatterbuck, our CFO. Before we start, I would like to remind everyone that our remarks will include forward-looking statements. There are a number of factors that could cause Intuit’s results to differ materially from our expectations. You can learn more about these risks in the press release we issued earlier this afternoon, our Form 10-K for fiscal 2017 and our other SEC filings. All of those documents are available on the Investor Relations page of Intuit’s website at intuit.com. We assume no obligation to update any forward-looking statement. Some of the numbers in these remarks are presented on a non-GAAP basis. We have reconciled the comparable GAAP and non-GAAP numbers in today’s press release. Unless otherwise noted, all growth rates refer to the current period versus the comparable prior year period and the business metrics and associated growth rates refer to worldwide business metrics. A copy of our prepared remarks and supplemental financial information will be available on our website after this call ends. With that, I will turn the call over to Brad.
Brad Smith: Thanks, Jerry and thanks to all of you for joining us. We delivered very strong results in our third fiscal quarter, with overall revenue growth of 15%, fueled by 15% growth in the Consumer Group and 16% growth in the Small Business and Self-Employed Group. Because of this strength and the continued momentum across the company, we are raising our revenue, operating income and earnings per share guidance for fiscal year 2018. With that headline, let me share some observations on our business overall and I will start with tax and our consumer business. Heading into tax season, we foreshadowed that this year’s primary drivers of revenue would be do-it-yourself category growth and higher average revenue per return. That’s indeed how the season played out, producing very strong results. As we have communicated over the years, there are four primary drivers in our Consumer business. The first is the total number of returns filed with the IRS and the latest IRS data indicates total returns grew about 1% in line with our expectations. The second is the percentage of those returns that were filed using do-it-yourself software. As a reminder, the DIY category growth is our largest lever of revenue growth. To-date, the DIY category share has grown just over 0.5 point, again outpacing the assisted tax prep category. As the leader, we view it as our responsibility to help drive category awareness and growth. So, we are pleased with this result. The third is our share within DIY. We competed well and earned a modest increase in our share of the category this season. When you look beyond DIY to total returns, we also gained 0.5 point of total market share. The fourth is the average revenue per return, which increased quite nicely this season. The growth was driven by a combination of attach, mix shift to the higher end of our product line, which includes TurboTax Live and pricing for value. Bottom line, it was a successful tax season. As we shared at Investor Day last fall, in addition to extending our lead in DIY, we are increasingly focused on transforming assisted tax prep and expanding our business beyond tax. We made encouraging progress behind each of these strategic priorities this season. In support of transforming assisted tax prep, we are pleased with the results of our TurboTax Live offering in its first season. We delivered an innovative experience that enabled filers who are seeking more confidence in their personal tax situation to do so by accessing a tax pro with the touch of a screen. Feedback from the nearly 2,000 pros and the many customers they served reinforced our confidence that TurboTax Live has the potential to be transformative to our consumer business in the years to come. It opens up the $20 billion assisted tax prep category and it provides us with an opportunity to grow our dollar share while increasing our average revenue per return. Michelle will share some additional data around our progress in a moment. This season was also the first for our Turbo offering, the consumer financial platform that expands our portfolio beyond tax. Turbo provides customers with a full view of their overall financial health by combining their credit score, verified income data, and a debt-to-income ratio to show customers where they truly stand. This year, TurboTax customers had the option to transfer their tax data into a Turbo account when they completed their return. Nearly 5 million TurboTax customers registered for Turbo in year one, providing us with a strong foundation to extend our business beyond today’s user paid model. The real value of this offering will come as customers engage with it on an ongoing basis. Overall, we feel good about our results this tax season and I want to congratulate all the employees throughout the company who played a role in delivering that performance. We are just getting started with TurboTax Live and we are looking forward to what we can deliver next season. Shifting to the Strategic Partner Group, our professional tax revenue was in line with our expectations for the quarter, with revenue up 4% year-to-date. We continue to focus on multi-service accounting firms that do both books and taxes. This enables us to drive our accountants’ success while growing our small business ecosystem at the same time. Turning to small business, we delivered another strong quarter in our Small Business and Self-Employed Group. QuickBooks Online subscriber growth continued at a rapid pace and Online Ecosystem revenue grew 41%. We exited the quarter with over 3.2 million QuickBooks Online subscribers, a 45% increase year-over-year. Growth remains strong across multiple geographies, with U.S. subscribers growing 40% to approximately 2.5 million and international subscribers growing 66% to about 720,000. Within QuickBooks Online, Self-Employed subscribers grew to over 680,000, up from 360,000 just 1 year ago. Approximately 330,000 of those subscribers are from the TurboTax Self-Employed offering. So, putting a bow around the quarter, our strategy of a vibrant One Intuit ecosystem continues to gain momentum. We performed ahead of our expectations this tax season and delivered continued strong performance in our Small Business and our Self-Employed Group. With that business overview, let me hand it over to Michelle to walk you through the financial details.
Michelle Clatterbuck: Thanks, Brad and good afternoon everyone. For the third quarter of fiscal 2018, we delivered revenue of $2.9 billion, up 15% year-over-year, GAAP operating income of $1.6 billion versus $1.4 billion a year ago, non-GAAP operating income of $1.7 billion versus $1.5 billion last year, GAAP diluted earnings per share of $4.59, up 24% year-over-year and non-GAAP diluted earnings per share of $4.82, up 24% year-over-year. Our non-GAAP tax rate is 26.3%, which is lower than the 27% rate we anticipated earlier this year. The reduction is a result of our continued analysis of the impacts from the new U.S. tax legislation. This lower tax rate contributed $0.05 to non-GAAP earnings in the third quarter. Turning to the business segments, Consumer Group revenue grew 15% in the quarter and is up 14% year-to-date exceeding the annual guidance of 7% to 9% we gave at the beginning of the fiscal year. We now expect 14% revenue growth for the year. TurboTax Online units grew 6% this season, while total TurboTax units grew 4%. This unit performance was driven by faster growth in both our paid and free offerings. As Brad mentioned earlier, our share within the DIY category was up slightly, while our share of the total tax preparation market grew 0.5 point. We are pleased with the performance of TurboTax Live in its first season. We scaled the offering from an in-market test during extension filing last fall to a meaningful contributor this season. This is great progress for a new offering in its first year and we are encouraged by the positive feedback we have received. Customers who used our final review feature rated their care experience nearly 20 points higher than those who did not. And TurboTax Live had the highest product recommendation score of any of our consumer tax paid offerings. Additionally, feedback was positive from CPAs, enrolled agents and tax attorneys serving clients on our platform. We look forward to applying what we learned to scale this offering further in the future. Turning to the Strategic Partner Group, we reported $131 million of professional tax revenue for the third quarter, up 4% year-to-date. We now expect revenue to grow 2% to 3% in fiscal 2018, slightly better than the 0% to 2% growth we guided previously. Total Small Business and Self-Employed revenue grew 16% in the quarter. Online Ecosystem revenue grew 41%, up from 39% in the second quarter. We continue to expect Online Ecosystem revenue to grow better than 30%. QuickBooks Online subscribers grew 45%, ending the quarter with over 3.2 million subscribers. TurboTax was a significant channel for QuickBooks Self-Employed and a total of 330,000 subscribers have come through that channel. We now expect to end the year with 3.35 to 3.375 million subscribers, equating to approximately 41% to 42% growth. Desktop Ecosystem revenue grew 3% in the quarter and is up 7% year-to-date. For fiscal 2018, we expect QuickBooks Desktop units to decline mid to high-teens and Desktop Ecosystem revenue to be up mid single-digits. Turning to our financial principles, we continue to take a disciplined approach to capital management, investing the cash we generate in opportunities that yield a return on investment greater than 15%. We finished the quarter with $1.9 billion in cash and investments on our balance sheet. Our first priority for that cash remains investing in the business to drive customer and revenue growth. Next, we use acquisitions to accelerate our growth and fill out our product roadmap. We return cash that we can’t invest profitably in the business to shareholders via both share repurchases and dividends. We repurchased $19 million of shares in the third quarter. Approximately $1.2 billion remains on our authorization. The board approved a quarterly dividend of $0.39 per share payable July 18, 2018. Our fourth quarter fiscal 2018 guidance includes revenue growth of 12% to 14%, GAAP diluted earnings per share of $0.04 to $0.06, and non-GAAP diluted earnings per share of $0.22 to $0.24. We now expect a GAAP tax rate of 24% and a non-GAAP tax rate of 26.3% for fiscal 2018. You can find our Q4 and updated fiscal 2018 guidance details in our press release and on our fact sheet. With that, I will turn it back to Brad to close.
Brad Smith: Thank you, Michelle. Before closing, I’d like to set some context for the management changes in our Consumer Group that we shared in our earnings release today. Effective at the end of the fiscal year, Dan Wernikoff, General Manager of our Consumer Group, will step down as the leader of Intuit’s consumer business, but he will remain at Intuit working with me on strategic projects. Greg Johnson, Senior Vice President of Marketing will succeed Dan as General Manager of the Consumer Group. Dan has done a tremendous job leading the team and I couldn’t be more proud of the foundation that he has built. Under his leadership, we extended our lead in the do-it-yourself category. We advanced our efforts to disrupt the assisted tax prep category and we expanded our business beyond tax. I want to thank him for an outstanding tax season and for repositioning the business for continued growth for years to come. At the same time, I couldn’t be more confident in Greg’s ability to lead the Consumer Group into the next chapter. Greg has spent the last 5 years as a key member of the Consumer Group senior leadership team. He has been leading our go-to-market initiatives, commercial innovation, analytics, and marketing capabilities that have accelerated the growth of Intuit’s tax business. He has been a driving force in the reinvention of our consumer business model, spearheading the introduction of Absolute Zero, helping bring TurboTax Self-Employed and QuickBooks Self-Employed together and was a key member of the team that brought TurboTax Live and Turbo to market this season. For those of you who have followed Intuit for a while, you know that we pride ourselves on building a deep talent bench. And this change is reflective of those efforts. I am excited to watch our momentum continue as Greg takes the baton from Dan to lead the Consumer Group. And to sum it up overall, we delivered a very strong quarter and we feel good about where we stand at this point in the year. While we remain focused on closing out the fiscal year on a high note, we already have our sights set on next year and beyond as we pursue our mission of powering prosperity around the world. But for now, we will continue to keep our heads down and focus on execution with the finish line in sight. And with that, Latif, let’s open it up and hear what’s on everyone’s mind.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Brent Thill of Jefferies. Your line is open.
Brent Thill: Thank you. Good afternoon. Brad, the Consumer business you started 7% to 9% guidance. You are ending the loan to that almost doubled. I was just curious if you could just bridge the outperformance in what you think the primary reasons were? And if you could also highlight a little bit of TurboTax Live, if there is anymore numbers or financial impacts for that would be helpful to get some color on that?
Brad Smith: Sure, Bent, happy to do that. Really, as I mentioned in my opening comments, the season played out the way we anticipated. The two primary growth drivers this year was, an acceleration in DIY category growth and our ability to pickup a little bit of share in that category and then the second was obviously average revenue per customer, which came as a result of increased attach services. We saw a mix shift to the higher end of the product line really brought on by TurboTax Live to a large extent and then we again have some pricing opportunities that was strategically took in key areas where we saw an opportunity to prosper value. Net-net, when you looked at it overall, it was just a well executed plan. The team was able to go out and compete effectively in the free category, while also introducing two new products, TurboTax Live and Turbo. And then I will click down on TurboTax Live for a minute and say that if you remember the strategic context, it is tens of millions of people each year end up going to an assisted tax prep method, because they have a nagging question. They lost confidence in their situation, because something changed year-over-year and we lose about 3 million customers a year because of that in addition to the tens of millions who are in a tax store or a CPA and if they simply had that question answered, they would file taxes on the road using software. What we saw this year was really encouraging with TurboTax Live. Michelle mentioned the fact that those that went through the final review, those consumers are actually went for a final review with the Pro, had a 20 point higher product recommendation score. We also sell very high product recommendation scores from the Pros on the other side of that network. And the other piece that obviously we were looking for is improved retention and we did see improved retention. We will talk more about that at Investor Day. And then last but not least are the sources of new customers are exactly the ones we wanted to see, first time filers entering our category, because there is also a Pro available and we also saw a 10 point higher conversion from assisted tax prep methods for those who signed up for live versus those who just did TTO. So, those are the kinds of numbers that we are willing to share at this point, we are not going to breakdown the actual number of customers or revenue, but you should hear in our tone a high degree of confidence and an excitement about next year.
Brent Thill: And just a quick follow-up for Michelle given the outperformance on the top line, we are really not seeing the flow-through as meaningful when you look at the margin structure over the last couple of years. I am just curious if you could talk to when you think you can open up the bottom line margin a little more relative to what you have seen in the last couple of years?
Michelle Clatterbuck: I go back to our financial principles. When we think about how we want to use the additional money that we have, it really is first and foremost we want to invest in the business and continue to do that, so we can drive customer and revenue growth. And that’s actually one of the things that we had pointed out earlier this year that we were doing, specifically investing in our transition to AWS and additional AI ML competencies, we also were investing more in our engineering area helping with software development and then marketing efficiencies in our corporate brand. And so we will continue to look at opportunities to invest, to grow the company and then obviously as we get closer in Investor Day we will update you as to what that might look like going forward.
Brent Thill: Thank you.
Operator: Thank you. Our next question comes from Jesse Hulsing of Goldman Sachs. Your line is open.
Jesse Hulsing: Yes, thank you. Just wanted to follow-up on the last question around Live, Brad, did you see enough out of the product that you feel like you are going to put your foot on the gas from a marketing perspective for next tax season? And I guess how does marketing live change or differ versus marketing your lower SKUs?
Brad Smith: Yes, Jesse, I want to be cautious not to get much of next year’s game plan away, but what I will say is we are confident enough we are going to put our foot on the gas with TurboTax Live. In terms of the messaging, our team actually got a little bit of practice in this year. We had dual campaigns going. One was helping people understand that they could move into free with at least your taxes are free and the other side was there is nothing to be afraid of which began to introduce the fact you can have an expert at the touch of a screen. We learned a lot and we have been running tests in the back half of the season. So, I feel very confident that we can go into market and have a message that basically says we are here for you regardless of your tax situation. And if you have any reason to need someone to work with, we have got somebody right there ahead waiting to connect with you. So, I feel pretty good that we figured out this year how to go out with the campaign to speak to the entire spectrum of tax filers.
Jesse Hulsing: Got it. And I guess as king of an extension of that question or response, how comfortable that you feel with I guess price and mix in higher end products being the core driver of the consumer business going forward?
Brad Smith: Yes, thank you for the question. We have a principle inside the company that has been a great guiding principle across all of our businesses for years and that is to grow our customers and monetization will follow. Many times that’s translated into growing customers faster than revenue and that is true when you are converting non-consumption. So, you are getting a small business out of a spreadsheet or a shoebox or you are even getting somewhat off a paper and pencil from a tax filing situation and maybe get them into free. Those often come with lower priced products so many times our customer growth outpaces revenue. In the case of tax right now, you have very few people left on paper and pencil, about 5 million people in total. So, it means we are now converting people who already adopted a method and with TurboTax Live we are converting them from higher-priced alternatives. So, when they come into our category, we are getting 3x the average revenue per customer, for those customers that come in with TurboTax Live. So, we are in an interesting situation right now in tax and that is that we are able to grow customers and share and grow average revenue per customer, which is accelerating our revenue growth. So, we are not in a trade-off situation there. I think we are actually in a pretty good situation in being able to do both expand share and grow revenue faster. So I feel good about the strategy and the way it’s playing out.
Jesse Hulsing: Okay. Thanks Brad.
Brad Smith: Thank you.
Operator: Thank you. Our next question comes from the line of Jennifer Lowe of UBS. Your line is open.
Jennifer Lowe: Great, thank you. I wanted to drill in on the QuickBooks Self-Employed number, particularly those attached to TurboTax and it looks like that slightly more than doubled year-over-year. I know there was some questions about what the renewal rate might look like given that, that was sort of the first experience renewing those types of customers. Can you just give us a little more color on the strength there, how much of that was maybe better renewals, how much of that was better gross adds, what are sort of the major pieces there?
Brad Smith: Yes. Thanks, Jennifer. First of all, we did see better renewal rates and retention than we had in our original forecasts. So, we are encouraged by that. The second is we got better at executing converting customers at the end of their tax filing process, the TurboTax into the product itself and the customer experience in the net promoter scores continue to improve. So it was really strength across the board. It was stronger renewals and retention. It was stronger top of funnel conversion and it was also a better quality experience that had the customers actively engage with the products. So we are feeling good about this particular product combination and we are looking forward to next year as well.
Jennifer Lowe: Okay, great. And one more from me, so looking at the 5 million Turbo customers that you had registered post-tax season, I think in the past you have talked about sort of longer term monetization opportunities there is around targeting financial offers to those customers and things like that. At this point, what’s sort of the monetization status of that business is it really user acquisition mode at this point or is there certain near-term opportunities to drive revenue there as well?
Brad Smith: We are actually executing both, but the priority is customer acquisition and then turning those customers into active daily users or monthly users depending upon their particular financial situation. So we were really encouraged to have 5 million people registered in its first year. That was a number beyond what we had expected and we had some pretty lofty goals ourselves. The monetization strategy as you know was similar to Mint, which is this is one of the products in our portfolio and in addition to Mint, the only two products where less money the customer spends, the more money we make. So said another way, we introduced them to other financial products to give them better deals and lower fees and then those particular companies pay us to reach those customers. And we are seeing a very nice monetization strategy with half a dozen partners we have now and they are seeing very nice conversion rates unqualifiedly, which gives us a reason to lean in as we look ahead to next year, but I would say, the priority right now was more active users and customers. The monetization we proved out this year for us and for our partners is there and we will start leaning into that as we head into next year.
Jennifer Lowe: Great, thank you.
Brad Smith: Thank you.
Operator: Thank you. Our next question comes from the line of Ross MacMillan of RBC. Your line is open.
Ross MacMillan: Thanks so much. Brad, just I know it’s early, but as we go into next tax season, I guess the big change is that with the new tax legislation it’s very possible that we will see a much higher percentage of the filing population do simple standard deduction and not a itemized deduction. And I wondered if you had any high level thoughts at this point as to how that might impact the DIY category growth? And then I had the one follow-up.
Brad Smith: Sure. Thanks, Ross. We spend a lot of time studying the behaviors this year and then working with customers post the end of tax season to better understand their psychology heading into next year. When you know there is some facts, the facts are more people will qualify for standardized deductions, which means they have the opportunity to move to the lower priced products in the DIY category, but it also means we have the opportunity to move out of the assistant tax prep category and into DIY. And when we put all that math together, we see this as a catalyst to grow the do-it-yourself category especially when you introduce services like TurboTax Live, which does enforce the binary choice between doing it yourself for having an expert ready to help you. So, we are really encouraged. We think this is going to be a tailwind for the category and an opportunity for us as we head into next season.
Ross MacMillan: Great. And my follow-up was it is actually just a clarification on the 330,000 QBSE TurboTax unit, is that a base number or is that a net add number year-to-date, because I had read that as a total number which implies that the net adds were about flat year-over-year, but Jennifer’s question suggested it might be a net add number. So, could you just clarify that? Thanks.
Brad Smith: Yes, Ross. You are correct, 330,000 is the base number out of the 683,000 active customers today, so that includes both stronger renewal rates than we had originally anticipated as well as the net adds.
Ross MacMillan: Thanks Brad.
Brad Smith: You’re welcome.
Operator: Thank you. Our next question comes from the line of Walter Pritchard of Citi. Your question please.
Walter Pritchard: Hi, thanks. Two questions on [indiscernible] it looks like that business decelerated quite a bit on the desktop side, it grew to sort of couple of percent year-over-year. I am wondering you have seen some really good growth there on sort of similar unit performance early in the year. Could you talk about what drove the difference in growth and I just had a follow-up on subs?
Brad Smith: Walter, you cut out on the first part of the question, I heard the desktop question, but I wasn’t sure what product line was it QuickBooks that you are asking about.
Walter Pritchard: No, I was trying to ask you if these desktop, the unit growth has been pretty similar, the unit declines have been pretty similar, you have seen stronger revenue performance I think on a year-over-year basis earlier in the year and this quarter is sort of just slight growth, I am wondering what explains the discrepancy in that drove the revenue deceleration in QuickBooks Desktop?
Brad Smith: Sure. Got it, Walter. Thank you. Really, it’s an anomaly of a discontinued product that last year in the third quarter recognized some revenue that had been deferred for a period of time. Let me tell you what that product was. You may recall a couple of years ago, we introduced a version of QuickBooks Desktop that included an option we called it the Chooser SKU. When you bought desktop at retail, you could go in and either choose QuickBooks Desktop or you can opt into a subscription of QuickBooks Online and because of accounting rules, we had to defer the revenue on anyone who purchase that product and carried out over the extent of the license. So, what happened was we found that not a lot of customers were taken that product, but the ones who did that revenue got recognized last year in the third quarter. So, we had a little bit of a balloon payment if you will we had to grow over this quarter. If you actually pull that product out, QuickBooks Desktop revenue would have grown 9%, which is in line with the prior quarter. So, it really was a one-time anomaly based upon a discontinued product from a couple of years ago.
Walter Pritchard: Got it. Okay, that’s helpful. And then just on subs for next quarter, the guide at the high end, even 3.375 implies fewer net adds than a year ago and all year you have been seeing growth in the net adds over last year. I am wondering if that’s just conservatism or something else that we explained why you might see a more significant decel in the net adds?
Brad Smith: Walter, conservatism is in the eyes of the holder. We are clearly leaning in and thinking about how do we continue to accelerate our QuickBooks Online subscriber growth both here and in the international markets? And I do still give the momentum we have. We are testing right now in this fourth quarter of our fiscal year different promotional approaches, different discounting rates. And so we give ourselves a little bit of an opportunity to experiment, so that when we head into peak season in the fall, we really have a game plan we feel confident in. So, you should probably consider that as a little bit of hedge for us as we are testing things, as we wrap up this fiscal year and get ready for next year.
Walter Pritchard: Great. Thank you. That makes sense. Appreciate the color.
Brad Smith: Thank you. Yes, me too. Thanks.
Operator: Thank you. Our next question comes from Scott Schneeberger of Oppenheimer. Your line is open.
Scott Schneeberger: Thanks. Hey, Brad. I have a two-parter for you and then a follow-up for Michelle. When you list revenue per return, you mentioned in order attach then mix shift then strategic price increase. And I am just curious is that the rank order, were they all 3 equal or won a little bit more and then the follow-up is on that is could you elaborate a little bit on attach, particularly if it is truly the number one?
Brad Smith: Yes, I appreciate it. We will unpack a little more of this in Investor Day, but I would give you this, I would put in the order of mix shift, attach and then price and it’s just by small percentage points, so there isn’t a significant variation across those. And then in terms of attach, we have different bundles, we have a plus bundle you can come in and purchase, we have some security features, we have the ability to do audits, defense, if you decide that you want to have some protection against being audited by the IRS. We had the refund transfer, which is the ability for you as we call it refund. What is it called now, refund some conservatism? The ability to pay for the software out of your refund and it’s a combination of those that basically had to attach. There wasn’t really anything that we did this year that was a breakthrough new offering in attach, it was just continuing to find better ways to expose customers to those products when they have a point of need.
Scott Schneeberger: Great. Thanks for that. And Michelle, just have the guide on CapEx down $50 million for the full year, could you just remind us how we should think about that, not just this year, but kind of going forward? Thank you.
Michelle Clatterbuck: Sure. Thanks, Scott. Our CapEx for this year, if you look at where we are – for the year-to-date, actually, there is a couple of different things that are impacting that. And as we have talked about transitioning to AWS, what that means then is we don’t have to do all of the refreshing in our data centers and so that’s having an impact there. One of the other things is we do have some lower software capitalization. And then last year at this time we were still doing some of the renovation and construction on our Mountain View campus and so that had inflated last year. And so we will continue to look at that. We will give you some more insights into that as we think about going forward at Investor Day, but those are the big drivers of the decrease that you are seeing right now.
Scott Schneeberger: Thanks very much.
Operator: Thank your. Our next question comes from the line of Brad Reback of Stifel. Your question please.
Brad Reback: Great, thanks very much. Michelle, if we go back to some of the margin commentary if we think about it from a high level, is this situation where the gross profit dollars should continue to outpace OpEx dollar growth, so cash flow should be a net-net benefit going forward?
Brad Smith: I am sorry, Brad, could you repeat the question. She wasn’t clear about the question.
Brad Reback: Yes, sure, absolutely. So, should we think about gross profit dollars growing faster than OpEx dollars, so while the margin may go down in the future, the cash flow benefit is still positive?
Michelle Clatterbuck: I am not sure if that is actually, I am trying to think through that right now, I don’t know I thought about it that way.
Brad Smith: So I can jump in. I mean, if you assume that the cost of goods sold is going to be relatively stable at about 15%, then gross margin is going to be about the same rate of growth as revenue and our operating margin dollars usually we are just a little bit faster than revenue, they are not this year, but that’s typically what they do. So Brad, I think you will back into an answer that’s pretty much what you are expecting. No, go ahead.
Brad Reback: No, I was just going to say thanks. Go ahead, Brad.
Brad Smith: Well, what I was going to do, I know this came up earlier and Michelle answered it and then this question came up just now and I thought I’d unpack for you a couple of points that I thought Michelle did a really nice job of putting out there. The first is our financial principles in the company remain enduring and we just reviewed them with the board a couple of weeks ago, which is double-digit organic growth on the top line, grow revenue faster than expense, which allows us to grow operating income dollars in the mid-teens. As we entered this year, we saw four opportunities that we wanted to lean in to invest that we said would both accelerate our top line growth this year, but would set the foundation for a stronger multiyear growth opportunity ahead and those were the areas that Michelle walked through. We saw accelerated top line growth this year and we also saw strong operating income growth of 13%. We will come back and talk about our financial principles again in August at Investor Day. But you should hear our anticipation that we are going to not continue to get good operating leverage out of this company in terms of growing our operating income dollars. This was a strategic choice. This is not a business model question. We sell opportunities to invest in technology, data sciences, accelerating into AWS, which by the way TurboTax RAM 100% and second peak at AWS and we saw real benefit from that and then of course the brand. So I am putting that out there just so if there is a question on anyone’s mind about is there an issue with the operating leverage of the company, I can tell you with straight eyes and a clear heart, the answer is no.
Brad Reback: Got it. Very clear. Thanks, Brad.
Brad Smith: Thank you.
Operator: Next question comes from the line of Keith Weiss of Morgan Stanley. Your line is open.
Keith Weiss: Excellent. Nice quarter guys and thank you for taking the question. Again, I tried to sort of attack head on and I think the question that like everybody is trying to get at consumer had a great quarter this quarter and a great year-to-date, I don’t think 14% is the highest I have seen in my model. Is there anything one-time in nature that we should be thinking about in this year versus prior years that makes this special, if you will, that or non-repeatable or can we potentially see a higher durable rate of consumer growth on a going forward basis given sort of how you expanded the product portfolio there?
Brad Smith: Yes. Thanks, Keith. We will talk about what we think the durable growth opportunity is in this business when we get into the fall. We have historically said at the 5% to 10% grower and we fully are aware that the last couple of years has been double-digits this year versus even further up into the teens. But what I do think is different is what I touched on a few minutes ago, historically, when we tried to grow the category and grow customers, they often came in with a free offering around the lower end of our product line up. Now as we are getting customers to come in with TurboTax Live and we are getting customers out of the assisted tax prep method, they are coming in at a higher average revenue per customer. So as we expand the category and grow customers, we are also growing revenue. And so I don’t believe you see a one-time events here, I think you are starting to see a structural shift in the business economics that if we can continue to execute should give us a really good sustainable growth rate as we look ahead, but we will talk much more about what that looks like when we get into the fall.
Keith Weiss: Excellent. That’s very helpful.
Operator: Thank you. Our next question comes from the line of Kartik Mehta of Northcoast Research. Your line is open.
Kartik Mehta: Hi, Brad.
Brad Smith: Hi, Kartik.
Operator: Mr. Mehta, your line is open. Please continue. Please make sure your line is un-muted.
Kartik Mehta: The TurboTax Live product this year, what was the primary objective for you for this year and what would you say the primary objective will be for that product next year?
Brad Smith: Kartik, I think that the majority of your question, I heard TurboTax Live, what was the primary objective this year and what will be the primary objective next year, was that your question?
Kartik Mehta: Yes.
Brad Smith: So, what we did seek this year to do was to say if we could impact the 3 million customers on average that we tend to lose when something changes in their tax situation, they either have a child to get married, they move between states, they sell stock. They have that nagging question and we wanted to see it by introducing a Pro we could actually improve our retention in our existing customer base is the primary objective. As I mentioned earlier, we will talk more about what the results look like as we get into the fall, but we did achieve that. The other thing we wanted to say is that we could change the source of new customers coming into the category. And if we could begin to bring people into the category as first time filers who may have gone to an assisted method or actually get people of our tax stores and CPAs and so far the mix of new customers as we finished this season also looks like we have been successful improving that hypothesis. So as we lean into next year, the primary objective is going to be to transform the $20 billion assisted tax prep category and begin to bring more of them into the do-it-yourself category. We think that will be the big opportunity for us over the long run.
Kartik Mehta: And then Brad as you talk about on the tax side maybe getting some pricing, do you think has the market changed and do you believe there is an opportunity for you to maybe raise prices more than you have in the past, because maybe consumers are seeing the value a little bit more now than they have in the past?
Brad Smith: Well, Kartik as you know you follow the space really closely. It’s a hypercompetitive market when you get into the free category. And as we mentioned a few minutes ago, tax legislation will give more people the opportunity to qualify for standardized deductions, so they could move into lower end products, lower priced products or even free, but we have also seen that consumers are willing to pay for value and the ability to have someone answer their question is convenience of coming through the software and being there at the point of need and they can schedule when they want to talk to that person is something that customers are willing to pay for. So, we do feel like with the right strategic value proposition that we can continue to grow revenue, while also growing the category. In terms of taking price, if there is not value-add relative to a competitor that become difficult and so we have to be able to differentiate and deliver more than our competitors can for us to earn a higher price.
Kartik Mehta: Thank you very much. Appreciate it.
Brad Smith: You’re welcome. Take care.
Operator: Thank you. Our next question comes from Kash Rangan of Bank of America/Merrill Lynch. Your line is open.
Kash Rangan: Brad, did you say clear eye and a straight heart or clear heart and a straight eye? That was not a question, both replied actually. My question is when you look at the profile, either demographic of waterproof profile, how are we to categorize people that came in on TurboTax Live. I am curious how much of that is flow from competition that was brick-and-mortar versus upgrade from your existing base are people that might have to your point try to, because the tariffs got complicated or even perhaps people that were going to a professional accountant that were using professional TurboTax. So, if you could characterize the flow of business in TurboTax Live and where you see the different vectors hoping that you can actually project these vectors into the future and help us understand the bigger picture of how it all plays out, let’s say, TurboTax is going to be as live is going to be as big as potentially TurboTax, the core business. Where do you see the inflow coming from it? And from a product standpoint, as you went through one RAM of this season, what changes do you see making to TurboTax Live next year from a product standpoint that will equip the company even better, forget the go-to-market, but for products perspective? Thank you.
Brad Smith: Yes, thank you, Kash and thank you for helping me think through the quotes and the things that I use here. Sometimes that West Virginia side of me comes out and I can’t even remember what I said. So, let me start first with we are going to breakout a lot more detail on TurboTax Live when we get into the fall at Investor Day. As we always do, we will share sources of customer, but I will hit at a high level, what we are encouraged by is as you know 3 million to 5 million people enter the tax category for the first time each year. They filed their first return. There is a whole host of reasons why people end up filing the first time. They are filing jointly. They are divorced. They are entering the workforce for the first time out of college. So, you take any one of those scenarios, we saw a disproportionate inflow into the category and into TurboTax. So that was exciting. So, we do know that’s an evergreen source of customers and we will talk more about that in the fall. The other thing we saw as customers who have been with TurboTax a couple of years ago and had left, we saw them coming home. And so that was a good opportunity for us as well. They had gone to an assisted tax prep method or some other alternatives. And then we did see those who have been with an assisted method whether it’s a tax or CPA, we actually saw TurboTax Live for all about 10 points more from that category than regular TurboTax Online does. So, we do like the sources of customers, they are first-time filers, they are people who used to be what is coming home or are those people who tend to be going to an assisted tax prep method. We will break out the granularity later. In terms of the opportunity, we still have a lot to prove to ourselves and to prove to you, but if you look at the tax category, it’s about a $20 billion assisted tax prep category and we have a very small sliver today. So, this could be a very nice business for us. If we can continue to execute well and create more value than any of the other alternatives in the market, we will just have to see how big that is.
Kash Rangan: The product perspective, thanks, if you have the time, otherwise no big sweat.
Brad Smith: Yes, Kash, I would rather at this point in time not to get ahead of our headlights in terms of sharing what we are going to do in the products. Obviously, there are lot of people in the marketplace that are interested in what we felt we did this year with TurboTax Live and what we will plan to do next year not all of them were investors. And so we just want to make sure that we keep some of those product plans close to the vest and we will talk more about that when we are getting ready to launch the product.
Kash Rangan: Completely understand. Thank you so much and congratulations.
Brad Smith: Thank you, Kash. Take care.
Operator: Thank you. Our next question comes from the line Siti Panigrahi of Wells Fargo. Your line is open.
Siti Panigrahi: Thanks for taking my question. Going back to QBO internet 720,000 that’s pretty good growth, how much of that driven by this QBO’s Small Business versus Self-Employed? And also you talked about France, Brazil, India product marketplace, could you give some update on that when we should start seeing some kind of growth from those regions?
Brad Smith: Yes, thanks Siti. So I would say first of all predominantly the growth in the international markets was driven by QBO core as opposed to QuickBooks Self-Employed. That product is ramping up and we are continuing to add functionality that is very country specific and we are excited about its prospect, but right now, the core growth that 66% growth was really driven primarily by QBO. In terms of the other markets and these were the markets where we are still in search of product market fit, France is really looking healthier by the day and we like what we are seeing in India in terms of prospects. We are actively engaged right now on a process for the government is opening up the technology stack and looking for a handful of providers that help them implement GST, which is their new tax situation that impacts small businesses. Brazil right now, we are still working through, we don’t have clarity yet in terms of how best to capitalize on the acquisition we did with ZeroPaper as well as around QuickBooks Online offering. So I would just say in terms of sequencing, I would do France and India is a little ahead of the pack and Brazil is a little bit further behind, but we are on the trail of all of them and we have got a team actively working to make sure that we turn those dashboards green and get the product market fit.
Operator: Thank you. Our next question comes from the line of Raimo Lenschow of Barclays. Your line is open.
Raimo Lenschow: Thanks for taking my questions and congrats from me as well obviously. Quick question on Turbo and Brad, can you talk a little bit about the – you talked earlier about how you like what you saw the early monetization, can you talk a little about the activity levels of the clients that you sign up to 5 million, how is that going in terms of what you see what they are doing with the product, how often you are using that etcetera?
Brad Smith: Yes, thanks Raimo. And this actually has been as Scott Cook, our Founder, would say savor the surprise. We know what the average met customer looks like, we know what their credit score is, we know what their decisions tend to be in terms of their financial investments, Turbo is bringing in a different customer, actually, a customer that’s a little more paycheck-to-paycheck with a lower credit score and much more in need of the kinds of financial services, the partners that we are working with can bring them. And so their active use is different than what we might see from a Mint customer or any other products we have had in the past like Quicken. And so we are in the process of learning as we speak. What we are finding is things like alerts and notifications making them aware of changes in their financial situation are very important to them. And we also know that, that drives active engagement. So we are at the process of saying we have 5 million people who have registered. Now, what can we do to actively engage with them and help them make the best decisions to improve their financial health? And then as we get closer to the fall we will be able to share with you some of those insights and we will break apart for you, the differences we are seeing in these customers relative to other products. But I will say this, we are very encouraged by how many people signed up, we are encouraged by the fact that as they save more money we make money and we are encouraged by the fact that the quality of the leads that we are getting to our partners in some cases is 8x to 10x better in conversion than what they have gotten from other sources. And so that for us is a real win, win, win and now if we can just turn them into active users and they get more of them, we think we have a viable business over the long-term.
Raimo Lenschow: Perfect. And one follow-up question from me on the investment side, can you talk me through like where are you on the move towards AWS, I think I have heard earlier you said TurboTax RAM 100% on AWS that should have been a big benefit for you guys just overall like I have referred the investment initiatives, but where are you in the process of kind of doing some of the major ones?
Brad Smith: Yes. So Raimo as you know we have been working towards getting into AWS for several years now, little over 4 years and there was a combination of getting our products architected working with AWS to ensure the levels of security for the kinds of data that we have in our products and then migrating the products in. TurboTax, as I mentioned, has been in the process of last year and this year moving into AWS and when we got the second peak which was mid-April we were able to RAM 100% of our volume through AWS and we were delighted with the performance of the product, the quality, the experience, everything was really above expectations. At QuickBooks Online and the major small business products are in the process of moving in, we hope to get those moved in, in the next 12 months and then we will have a long tale of other services we will be moving out of our own data center and into AWS and that will probably have another 12 months or so after that. But right now what we are dealing with is we have a double bubble, we have talked about that before, where we have our own datacenter up and we also have AWS. And so that’s part of the investment that we foreshadowed as we went into this year, we got to be paying for volume in AWS, while we continue to pay to keep the lights on in our own datacenter until we get everything moved out of our garage and into theirs. And we feel good. We actually like what we are seeing in terms of how our products perform when they are on AWS and we got another call it 24 plus months to get everything moved over.
Raimo Lenschow: Perfect. Very clear. Well done.
Brad Smith: Thank you.
Operator: Thank you. Our next question comes from Jim MacDonald of First Analysis. Your question please.
Jim MacDonald: Yes, good afternoon guys. Believe it or not I have another TurboTax Live question, did you have any capacity issues either supply or demand or can you talk a little bit about that, did you have enough on either side of the equation there?
Brad Smith: Thanks, Jim. Never apologize for asking about any of the products and certainly about TurboTax Live. We are very, very proud of this product offering this year. And the short answer to your question is no, we did not. We were delighted by the supply of professionals who wanted to work with us on the platform. We were delighted by our team and the ability to match supply and demand in real time and maintain the service levels where you could be connected within minutes or you have the ability to schedule at your own convenience when you wanted to have a professional connect with you. And we were also delighted to see that customers and pros were willing to flex and in some cases at the end of the season they said hey, I will go ahead and file an extension, because I am not ready to get myself to a Pro. So, it really did at the end of the day work out much better than we had hoped and I think at the end of the day it’s also an opportunity to re-imagine this entire category, because many times you are constrained in an office when you have a log sitting in the front office waiting to get their turn to get their taxes done, but in our case we have pros working from home and they can come in at any point in time and help you get it done. So, I think this is really a game changer.
Jim MacDonald: Very good. And just on a different subject, your QuickBooks Online services seem to be particularly strong this quarter, was there anything going on there?
Brad Smith: Yes, Jim, it was. We are excited by the fact that our teams and we have been talking about this for some time and acknowledge we needed to improve our execution, but our teams have continued to improve our execution behind both payroll and payments that was helping drive our online services. And then in addition to that, we did have a quarter of TSheets, the acquisition, the time and attendance acquisition that rolled into those services as well. But it really is a continued improvement in our ability to execute those services beyond just core accounting and that’s what’s driving that growth?
Jim MacDonald: Great. Thanks.
Operator: Thank you. Our next question comes from the line of Sterling Auty of JPMorgan. Your line is open.
Sterling Auty: Yes, thanks. Hi, guys. Brad, you mentioned that in the DIY category that you gained a slight amount of market share, were you satisfied with the share gains that you saw, were you surprised that maybe they weren’t more and what did you see in the marketplace that maybe limited some of the share gains that you saw this year?
Brad Smith: Yes, thank you Sterling. We have really good competitors. They continue to invent and reinvent their game every year as we do. And I think that in the end of the day is good for us as we have to take our game to the next level and it’s certainly good for the consumer. And if you look at everyone who has reported publicly, ourselves and the second placed player in the market, it looks like we have picked up share and so far the others who have reported seemed to have not. And in terms of how we performed of course I would always like to remove the word slightly and then they we gained share, but if I keep things in perspective given how hypercompetitive it was this year, I am very proud of the fact that we were able to continue to build on our market share. And at the same time, we introduced products like Turbo and TurboTax Live. So each year we are going to come out and our game plan is going to be to try to increase market share in the category, while we expand into these other services. And I am really pleased the team did that this year.
Sterling Auty: Got it. Thank you.
Operator: Thank you. Our next question comes from the line of Kirk Materne of Evercore ISI. Your line is open.
Kirk Materne: Thanks very much and I will add my congrats in the quarter. Brad, thank you for sort of reiterating your financial principles and what you are thinking about that going into next year, I guess my question is if we are in a situation where consumer growth is going to be higher for longer that obviously gives you a lot more flexibility from an investment perspective. Could you just talk about whether or not the success you had in the quarters allows you to accelerate your investments whether it’s in the areas like AI or in certain products that I guess you offered maybe just insights into how you are thinking about that from your investment perspective as we had into the next fiscal year? Thanks.
Brad Smith: Yes, thank you Kirk. Appreciate the kind words on the performance in the quarter that the team delivered. Our financial principles give us the flexibility to continue to invest and as Michelle talked about when we produced cash flow, our first priority is to invest in the business, accelerate customer and revenue growth. And then we look for acquisitions and we return cash to shareholders whether it’s stock repurchase or dividends, but you may recall this year we also talked about an initiative we implemented called Reinvent-to-Reinvest, where we look across the company as the lower ROI investments and we basically redirect those resources, time, people and dollars to higher priority areas. And this year under the leadership of Michelle, we found over $190 million that we have been able to redirect to higher priority areas and we already have plans in place to even increase that number as we look at fiscal year ‘19 and beyond. So I do believe that we have the opportunity within our financial principles and also within our ability to just take a hard look at ourselves and say, there are areas where we could spend dollar more wisely that we are going to continue to redirect those dollars to things like artificial intelligence and machine learning global expansion, TurboTax Live, Turbo, QuickBooks capital and all those other things we have talked to you about. And we have that capacity to do so without harming our financial principles.
Kirk Materne: Thanks very much.
Operator: Thank you. Our next question comes from the line of Michael Millman of Millman Research. Your line is open.
Michael Millman: Thank you. Given IRS numbers in the past several years, the growth in do-it-yourself has been about 5 points higher than it has been insisted. This past year, it dropped to 2.5 I was wondering if you could talk about it, because it seems at variance was what would think? Second question is I think this is your number that there is about 30 million taxpayers who don’t itemize, but yet there is assisted, why do you think if we increase that number with a higher standard deduction – those people will change to do-it-yourself? Thank you.
Brad Smith: Yes, thank you Michael. It’s good to hear from you. First of all, we would say that relative to the prior years, the thing we keep in mind is the assisted category is do-it-yourself outpacing assisted and obviously it is. This year was a little bit of a fear uncertainty and doubt year. There was a lot of confusion in the market as tax legislation came out, does it affect this year, does it affect next year, which is why TurboTax Live was so important. So if you had a question we wanted to let you know that we could help you with a tax professional. So I can’t really tell you why this year we solve maybe a less accelerated growth. We do know that the category picked up 0.5 point of share which is good and we believe that that opportunities continues to increase with two things, with tax legislation taking full effect next year and then us having TurboTax Live out there as that people know that if they do have a question they can move into our category and still have the assistance of a tax pro. And that really answers your second question, the 30 million people today who were filing a 1040EZ or A or have what could be simple returns would still go to a tax pro. They are doing so, because they don’t realize that with just one or two quick answers in a 5-minute exchange they could file their taxes for a much lower price. We believe it’s not just pack simplification, but it’s TurboTax Live that will allow us to shift the category into do-it-yourself and to get more of those filers using TurboTax. So as the legislation and TurboTax Live that we think will help us fundamentally grow the category.
Michael Millman: Very good. Thank you.
Brad Smith: Alright. Thank you.
Operator: Thank you. Ladies and gentlemen, I am not showing any further questions. Would you close with any additional remarks?
Brad Smith: Yes, thanks Latif and I want to thank everybody for your time and for your questions today. I hope everyone has a great Memorial Day weekend. We are looking forward to speaking with you soon and until then take care.
Operator: Ladies and gentlemen, thank you for participating. This concludes today’s conference call.